Operator: Good morning. This is the conference operator. Welcome, and thank you for joining the Publicis Groupe's Half Year 2025 Results Conference Call. [Operator Instructions]. At this time, I would like to turn the conference over to Mr. Arthur Sadoun, Chairman and CEO of Publicis Groupe. Please go ahead, sir.
Arthur Sadoun: Thank you, Judith. Bonjour and welcome to Publicis Groupe First Half 2025 Earnings Call. I am Arthur Sadoun, and I'm here in Paris with our CFO, Loris Nold. Jean-Michel Bonamy is also here and will be available to take your question offline after this session. I will begin by sharing the highlights of our H1 performance and the outlook for the year. Loris will then take you through the detail of our numbers, and I will conclude with a strategic update. As usual, Loris and I will take your questions after this presentation. But before we start, please take the time to read the disclaimer, which is an important legal matter. Okay. Let's dive into the presentation. There are 3 key highlights from H1. First, we delivered another very strong quarter with organic growth of plus 5.9% in Q2, bringing our H1 performance to plus 5.4%. Second, we are slightly improving our industry high operating margin, delivering 17.4% in H1, while maintaining a significant level of investment. Third, we are raising our full year net revenue organic growth guidance. We now expect to deliver close to 5%, up from our initial 4% to 5% range, thanks to very strong net new business wins. Let's get into the detail of those highlights, starting with organic growth. After Q1 at plus 4.9%, Q2 was even stronger at plus 5.9%. This performance stands out for 2 reasons. First, we are accelerating ahead of our 5-year CAGR of 4.9% in Q2 despite increased macro uncertainty and external pressures. Second, we continue to make material market share gains, increasing our outperformance versus our competitors to nearly 800 basis points on average this quarter based on consensus estimates and up from around 600 basis points in Q1. Looking at our business practices. Connected Media representing circa 60% of our net revenue remained very strong. It was up high single digits again this quarter, driven by Publicis Media scale across geographies and media channels and powered by Epsilon proprietary data. Intelligent creativity, generating circa 25% of net revenue, once again recorded high single-digit growth, supported by significant new business wins and scope expansion in production, but also in creative. Lastly, technology with Sapient representing 15% of our net revenue returned to positive territories despite client ongoing wait-and- see attitudes to CapEx spend, which is affecting every IT consulting firms. It is this better-than-expected performance at Publicis Sapient that explains most of the acceleration in group organic growth in Q2 versus Q1. When it comes to our results by geographies, all our regions performed well. The U.S., representing 58% of our net revenue in Q2, achieved solid organic growth at plus 5.3% this quarter on top of plus 5.3% growth rate from last year and accelerating versus Q1, thanks to Publicis Sapient turning positive this quarter. Europe reported plus 4.6% organic growth, following plus 4.2% in Q2 2024, reflecting robust results in Connected Media and Intelligent Creativity with Sapient practically stable. Asia Pac delivered plus 5.7% organic growth. China is up 5.2% in Q2 driven by market share gains. We have grown by 28% since 2020, thanks to our industry-leading capabilities, our scale in media offering, a unique reputation of rigor in China and transparency, but also thanks to our team with some of the countries very best talent. Turning to our second highlight. We improved our operating margin in H1. It reached another industry high level of 17.4%, further increasing the gap of our competition, which now stands at close to 600 basis points based on consensus. We were able to deliver this outperformance while making significant investments in building and staffing our CoreAI platform for EUR 55 million, upgrading our talent pool and investing in new business and onboarding new clients, thanks to our best-in-class cost discipline and relentless focus on extracting efficiency gains. Headline EPS came in at EUR 3.51 in H1 2025, up 3.8% versus H1 2024. Free cash flow reached EUR 828 million in H1, ahead of last year's EUR 744 million records. We also pursued a differentiated bolt-on acquisition strategy, investing EUR 600 million in H1. This space means we are on track to meet our EUR 800 million to EUR 900 million envelope for 2025. Finally, our average net debt stood at EUR 836 million in H1. Third highlights are unprecedented new business run in H1 enables us to raise our full-year organic growth guidance. We are now confident in delivering close to 5% in 2025, up from our initial 4% to 5% range despite the lack of visibility in a challenging macro context. Our guidance upgrades, factored in anticipated reduction in client marketing spend in H2, negative full year performance at Publicis Sapient, consistent with other IT consulting firms and a negative impact from year-end adjustments after the positive of 2024. This will be more than offset by our stronger-than-expected H1 and 15 material wins since the beginning of the year, some of which are set to progressively ramp up from Q3. When it comes to our other financial KPIs, we are confirming our guidance of a slight improvement on our operating margin for 2025, while maintaining high level of investment across AI, talent and new business. And we anticipate free cash flow of circa EUR 1.9 billion, including the negative impact of currency movements for EUR 80 million. Before handing to Loris, let me say a word on our strong momentum of our Creative operations. Not only our Creative business outgrow competition significantly with high single-digit growth in the first half of the year, we also won major creative pitches on several truly iconic brands. What is more, we returned from Cannes with Publicis Conseil, the agency founded 99 years ago, by Marcel Bleustein-Blanchet, named agency of the year for the second time in a row. And we brought home the Grand Prix Titanium, the festival highest honor for outstanding work with our historic client, AXA, who became actually the festival brand of the year. We often speak about our undisputed leadership in Connected Media, but we have here once again demonstrated our ability to take the lead on the creative front, too, thanks to the talent of our team and the strengthen of our capabilities. I will now leave the floor to Loris for a deeper dive into our numbers. I will then come back and set out the reason for our confidence in sustaining our strong outperformance in 2025 and beyond.
Loris Nold: Thank you, Arthur, and good morning, everyone. Let me begin with the key highlights of our first half results. H1 net revenue was EUR 7.152 billion, up 6.9% versus 2024 and up 5.4% on an organic basis. Operating margin was EUR 1.242 billion, up 7.1% versus 2024, representing a record 17.4% operating margin rate. Headline net income was EUR 890 million, up 3.9%. And free cash flow before change in working capital was EUR 828 million, up 11.3%. I will now get into the details of the P&L, free cash flow and balance sheet, starting with the net revenue. In Q2 2025, net revenue was EUR 3.617 billion, up 4.6% on a reported basis. This includes a net negative impact of currency of 420 basis points, mostly due to the decrease of the USD versus euro. A contribution from acquisitions, net of disposals, of 290 basis points, mostly reflecting the impact of Mars and Influential, but also the acquisitions completed since the beginning of the year, including Lotame, ATOMIC 212 and BR Media. And plus 5.9% organic growth, which comes on top of plus 5.6% organic growth in Q2 2024. Let's move to the next slide, which shows our Q2 net revenue by region. North America posted another strong quarter, up 4.2%, including plus 5.8% organic growth. There was a negative impact of the USD versus euro of 490 basis points in Q2 and a 330 basis point impact from acquisitions. Europe was up 5%, including plus 4.6% in organic growth. Asia Pacific posted a robust plus 5.7% organic growth. Middle East and Africa and Latin America reported plus 8.8% and plus 19.8% organic growth, respectively. Let's get into more details for each region, starting with North America. In the U.S., the group's largest geography, all activities continued to perform well, delivering plus 5.3% organic growth, driven by the solid performance of Connected Media and Intelligent Creativity, both benefiting from new business wins and scope expansions. Publicis Sapient showed sequential improvement, returning to positive territory in Q2. Let's turn to the performance in Europe on the next slide. The U.K., which represents 9% of our net revenues, posted a solid plus 5.2% organic growth. Connected Media was up mid-single digit in Q2. Intelligent Creativity posted a strong high single-digit growth, while Publicis Sapient was up mid-single digits, against an easy comparable. France was almost flat and up low single digits when excluding Publicis Sapient. Germany was slightly down in Q2 and up mid-single digits when excluding Publicis Sapient, thanks to high single- digit growth in Connected Media. Lastly, our operations in Central and Eastern Europe continued to grow strongly posting plus 9.9% organic growth on top of plus 17.4% last year, driven by Connected Media up double digits, while Publicis Sapient was up mid-single digits. By country, main growth drivers were Romania, Poland and Turkey. Moving to the next slide, our performance in the rest of the world. Asia Pacific, which represents 9% of our net revenues, delivered plus 5.7% organic growth, driven by Connected Media, which was up double digits. China remained strong at plus 5.2% organic growth after a double-digit growth in Q2 2024. Middle East and Africa posted plus 8.8% organic growth, mostly driven by Connected Media. Latin America posted plus 19.8% organic growth, driven by both Connected Media and Intelligent Creativity, in particular, in Brazil and Colombia as well as in Argentina, partly due to inflation. For your reference, you'll find on the next slide, the H1 performance by region. As you can see, all regions posted strong organic growth performance for the first half of 2025 leading to plus 5.4% in total for the group on top of plus 5.4% organic growth in 2024. On the next slide, you will find our performance by client industry for H1. As for Q1, we saw most of our client industries record positive growth in Q2. Healthcare posted plus 16.1% organic growth in H1 2025 on top of double-digit growth in 2024, thanks to new business wins and scope expansions across several clients. We had a strong performance from CPG with food and beverage up 9.8% and nonfood consumer up 4.2%. Financial Services, which represent 13% of our net revenue, continued to perform very well, posting plus 15% growth in Q2 leading to plus 12.5% in H1 2025. Moving to the next slide and our simplified P&L down to the operating margin. Operating margin was at EUR 1.242 billion representing a margin rate of 17.4%, up against the record level of H1 2024, demonstrating our ability to continue investing in new business ramp-up, talent upgrades, and AI to support our growth. This includes a EUR 22 million increase in restructuring charges to EUR 63 as well as a EUR 55 million investment for our AI plan. Personnel expenses, excluding restructuring, increased by 7.1%, reflecting investment in talent to support our new business. Other operating expenses were up 3.5%. Depreciation was up 7.5% due to increased IT investments and additional real estate footprint. Moving to our operating margin bridge on the next slide. Personnel costs as a percentage of net revenue and excluding restructuring costs, were up 5 basis points, mostly attributable to accelerated investment in talent as well as staffing requirements to ramp up our new business wins. Restructuring charges were up $22 million or 25 basis points as we continue to upgrade our talent bench. Other operating expenses as a percentage of net revenue were down 40 basis points demonstrating our strong cost management and ability to generate further operating leverage to invest in talent to grow our net revenue. Moving now to our headline income statement below operating margin and focusing on the main items. Headline net financial expenses were a EUR 44 million charge versus EUR 7 million in 2024, attributable to lower interest income. Headline net income tax charge was EUR 302 million with an effective tax rate of 25.1%. Headline net income was EUR 890 million, up 3.9% versus 2024. Next slide, our headline EPS fully diluted grew by 3.8% year-on-year to reach EUR 3.51. Moving to the next slide, free cash flow. Our free cash flow before change in working capital reached EUR 828 million, up EUR 84 million compared to H1 2024. This increase is mainly driven by an additional EUR 100 million in EBITDA, partly mitigated by a EUR 36 million decrease in interest paid and received due to the lower cash interest income. Tax paid decreased by EUR 26 million as 2024 was impacted by some nonrecurring tax payments. Moving to the next slide, use of cash. In H1 2025, change in working capital represented an outflow of EUR 1.745 billion, fully in line with our expectations and reflecting the usual seasonality. Acquisition, including paid earnout, amounted to EUR 463 million. It includes the upfront cash payments for Lotame, ATOMIC 212 and BR Media. On share buybacks, we spent EUR 149 million in H1 2025 to cover our LTI plans. Other noncash items represented a negative EUR 274 million versus a positive EUR 229 million in H1 2024. There are 2 main reasons for this EUR 503 million swing. Currency translation deteriorated by EUR 319 million with the depreciation of currencies versus the euro. Change in earn-outs deteriorated by EUR 187 million versus H1 2024, when combining earn-out reevaluations as well as new earn-outs from acquisitions completed since the beginning of the year. When you consider payments for acquisition and new earn-outs, we invested EUR 600 million out of our EUR 800 million to EUR 900 million envelope. Overall, net cash decreased by EUR 1.808 billion. Moving to my last slide, net financial debt. The average net debt on the last 12 months was EUR 836 million, an increase of EUR 461 million compared to last year due to the acquisitions completed over the last 12 months. We closed H1 2025 with a net debt of EUR 1.033 billion. And the financial leverage remained roughly stable at 1.1x as expected. This concludes my financial presentation, and I now give the floor back to you, Arthur.
Arthur Sadoun: Thank you, Loris. As you have seen, with plus 5.4% organic growth in H1, we delivered a very strong performance, accelerating versus our 5-year H1 CAGR of plus 4.7%. We expect to sustain this momentum for the full year despite macroeconomic uncertainties. As a result, we are upgrading our organic growth guidance to close to plus 5%. Looking at H2 and beyond, I guess we will all agree that our industry is currently very disrupted. Our 2 main competitors are focusing on restructuring, cost cutting and leadership changes. At the same time, our clients have never been more in need of our partnership, particularly at the moment when AI is reshaping the marketing landscape. In this context, we are in a position of strength, as expressed by our very strong performance over the last 5 years. Our transformation is behind us and our almost EUR 700 million of additional organic net revenue this year give us the firepower to invest in our model and in our people. All of this means that today, we can focus entirely on the execution of 3 main objectives: continuing to gain market share by bringing our clients exactly what they need to grow profitably in the current environment, doubling down on our AI strategy by further accelerating on bolt-on acquisition and retaining and attracting the best talent in our industry. Let me take you through each of those priorities. First, continuing to gain market share. The best demonstration of the superiority of our model is the increasing gap in net new business we are creating versus competition. As you can see in the JPMorgan new business tables, in H1, our net billings reached a total of $5.2 billion with an acceleration in Q2. We are currently up 68% versus H1 2024, while the rest of the industry is close to 0 or negative. Today, we are only focused in partnering with our clients, old and new, to solve their marketing challenges and help them grow profitably in a difficult environment. Thanks to our proprietary data, our Connected Media ecosystem, our production backbone and our 25,000 engineers, we are delivering concrete business solution boosted by AI and technology that helps our clients immediately to identify who and what is going to drive their growth and get we want, to make every dollar of their media spent work harder and with greater efficiencies, to create more of the content they really need and less of the content they don't and to ensure their investment delivers the right business outcomes. We have truly become a category of one. We are bringing unique solution to our clients that they need more than ever in this downturn economy. This is where our teams spend 100% of their time, and it is how we are making and will continue to make market share gains. Second priority, doubling down on our AI strategy by further accelerating on bolt-on acquisitions. Since the launch of CoreAI early 2024, we have invested close to EUR 2 billion to bring it to life, on the top of the EUR 10 billion we spent in the last 10 years on acquisitions like Sapient and Epsilon. The investments we have made over the past 18 months have massively contributed to our objective of leveraging AI at the core of our model and for the benefit of our client business. As a result, they have been strong organic growth driver for us, delivering in excess of 15% in 2024 and on track to reach plus 20% in 2025. These growth rates will contribute to our organic growth as of Q3 2025 and represent close to 20 basis points in our full-year 2025 organic growth. If you look at the 2 largest acquisitions of this 18-month period, it is clear that they have been highly strategic for our clients and by extension for ourselves. First, Influential, which we acquired last summer, is performing far beyond our expectation, already achieving impressive triple-digit growth year-over-year. In 2025, we continue to strengthen our influencer capabilities with the acquisition of Captiv8 and BR Media. By connecting Epsilon data with Captiv8 AI technology and Influential Creator Network, we have built the world's largest and most powerful influencer media platform. In Cannes, we showed that we can now deliver Super Bowl level reach, meaning more than 127 million impressions for the fraction of the price. Second, Mars United Commerce, which reinforced our commerce capabilities with CitrusAd and Profitero has been growing double digit and played an instrumental role in winning the biggest pitch of the year. In the quarters to come, we will continue to double down on our bolt-on strategy, focusing on highly specialized capabilities in data management, new media channels, production and business transformation. Third priority, we continue to retain and attract the best talent. The number one reason for our success is the quality of our people in what is still a service business. We see real opportunity to continue on our momentum on this front and increase our disproportionate share of the industry's leading talent who today are facing actually 2 different choices. On the one hand, there are companies that are openly engaged in cost-cutting and restructuring. On the other, there is Publicis, which is on the growth journey and has demonstrated time and time again our commitment to put our people first. In this context, we have already attracted key new leaders and are planning to leverage our growth to continue to do so. Voila, after another quarter of outperformance and an upgrade of our guidance, allow me to conclude not on Publicis, but on our industry as a whole. Because at a time when the press, but also the markets are currently talking down our sector, I actually think we have real reasons to be optimistic, not only for Publicis, but for all of us. Spending the vast majority of my time with clients, one thing is clear, with the acceleration of AI, they need their trusted partner more than ever. If they want to thrive in a complex AI-driven world, clients need to own their own data and not be prisoner of the walled garden, connect their entire media ecosystem and not depend on any single platform, protect and grow their brand value and differentiation as AI threaten to commoditize brands. Measure their investments transparently with real business outcome and build their own ecosystem to be AI-ready and AI-powered responsibly. Only our industry is capable of connecting and delivering on those imperatives. At Publicis, we are doing that every day. We are making a clear demonstration that there is a lot of value to be unlocked for our clients, for ourselves, but also for those in our industry who are able to transform. This is even more true in a competitive landscape that will be reduced and improved with the move from 4 main players to 3. In a world of agent versus agents, our decades of client side partnership, category experience and brand expertise are something no tech platform can replicate. This is why we are confident in our future to help our clients stand apart, grow stronger and win in the age of AI. I would like to thank them for their trust and our team for their hard work and dedication. Thank you all for listening. And now with Loris, we are ready to take your questions.
Operator: [Operator Instructions] The first question is from Nicolas Langlet, BNP Paribas Exane.
Nicolas Langlet: I've got 3 questions, please. So first of all, in terms of client spending, have you seen any important change through the quarter? And notably, how is the client spending in June compared with previous months, considering what one of your peers have mentioned recently? Second question on Sapient, nice to see the division stabilizing. Are there any signs of a sustainable recovery for the division? Or there were some nonrecurring events supporting the slight growth in Q2? And finally, you have previously mentioned the growing importance of performance-based components in the contract structures. Have you noticed a change over the past months? And more generally, are you able to adapt the pricing of the services when you use your own generative AI tools with clients?
Arthur Sadoun: Nicolas, thank you very much. I'm going to leave the contract and the pricing to Loris a bit later. I'm going to start with the client spending and Sapient, if you may. A couple of things on client first. What we are experiencing at the moment is clients that are very combative, but also cautious. And to answer directly your question, we have not seen any change from Q1 to Q2 in terms of investments. We are maybe expecting some impact in H2. But so far, so good, so much so that, again, clients are perfectly understand that they have to keep investing in marketing to preserve and grow their market share. As you would remember, they went through very tough time with COVID, with inflation. And again, at this stage, they are continuing to invest because they know that they have to keep their market share. So we haven't seen any material reduction of any kind from H1 to H2, which, by the way, is also a reason why we can explain the better-than-expected H2. No slowdown on our current client and a better performance than expected on Sapient. Where we have to be careful is on the CapEx spend. But again, it's not a move from Q1 to Q2. It has been now almost 18 months since the IT consulting sector has been hit by this wait-and-see attitude that is a reality. And although we see a slightly positive Sapient at the moment, we know that clients will still wait and see what would happen in the future before really starting to invest in their transformation. They will, and I will talk about Sapient in a second, but that's what we see in terms of balance. So no change between Q1 and Q2, definitely, just an 18-month period where the CapEx is less spent, which only, of course, impacts Sapient. So moving to Sapient. I think that, again, it's important to note like, I would say, every industry peers, and you have seen the last results, Publicis Sapient was negative in H1. And this, despite, again, the slightly improving Q2, that is basically due to favorable phasing and an easier comparable, as we said. From what we see in the macro, Sapient that represent roughly 15% of our revenue should remain negative in H2 and in line with H1. But what is very important is this is fully baked in our guidance. And by the way, if we were to have a positive surprise, it will actually impact H2 as it did in Q2. Again, the change from the guidance we gave on the result is particularly due to that. But I want to take a second because it has been a while now since this IT consulting firm sector is suffering and Sapient with them. But you know that we really believe that at the moment where clients know that AI will be an essential differentiator, and I don't think you will find one company that won't agree with that, we believe that Sapient is a unique competitive advantage for us. We haven't shown you everything and the breadth and the scope of what they have developed recently. But they have some of the most advanced capabilities in AI-driven business transformation, things that can be executed in a cheaper and faster manner through AI intelligence rather than labor-intensive solution. To be clear, we are exactly at the right place in an environment that is still difficult due to this uncertainty, but with clients that know that they will have to invest. And what we have experienced in the past, which is a huge contribution of Sapient in terms of growth, will happen in the future. You will remember that we moved from EUR 1.5 billion to EUR 2 billion in roughly 3 years when we repositioned Sapient. We are expecting very soon to see this kind of growth. Having said that, there is one point that I would like to underline, and then, I will stop with Sapient, is they are only focusing on digital business transformation. They have absolutely no exposure to business process outsourcing, which is where we expect AI to severely disrupt. So again, we have to wait for this wait-and-see attitude to change, but we are very confident in the ability of Sapient not only to grow, but to be an incredible differentiator in new business and with our clients, which, by the way, is already the case. Loris, do you want to take that one?
Loris Nold: Yes. And I'll probably start, Nicolas, with your question on June. So just to be clear, we didn't see any material differences in monthly organic performance across Q2. What I can tell you is that each month showed sequential improvement in absolute terms. Hence, June by size was the largest month of the quarter. On your last question, which is around the evolution of remuneration models, I mean, as you know, we don't get into specifics when it comes to client contracts or condition. But when it comes to remuneration models, we haven't seen significant evolution. If you take a bit of a step back today, 2/3 of our contracts are retainer-based with strong visibility, as we said in Q1. Some of them include performance-based components, particularly in media or efficiency-based remuneration when it comes to production. And the rest is a combination of project fees and time and referral. And we have not seen, as I said, a significant evolution on that front.
Arthur Sadoun: Just one last point on the margin. I mean, as you have seen, a part of our growth is new business. And what you have seen with us in the last years is we are not buying market share. We only go into pitches where we know that the value we bring will be reflected in the commercial term. This is why we have passed a couple of important pitch last year, and this is why we are passing a couple this year is that we want to make sure that we can continue to grow fast, but also improve our margins by more efficiencies and again, not buying market share. Thank you, Nicolas. I guess we're going to the next question.
Operator: The next question is from Laura Metayer, Morgan Stanley.
Laura C. Metayer: Arthur and Loris, congrats on a strong quarter. 2 questions for me, please. The first one is, can you give us an indication of how much larger the tailwind from new business wins will be in H2 versus this quarter? And then second question on the scale of your media business. Curious to get your thoughts on how you think the merger of 2 of your competitors may impact your media business? Is scale still the most important factor? Or is it about differentiation?
Arthur Sadoun: Thank you, Laura. I'm going to take both of them, and then, you can make a comment on the scale of our media business, but I want to start by the strategic point of that. First, again, let's talk about new business and the contribution of new business. I think it's important, and let's take a minute on that because we know there are several questions on this, you need to take a step back about our net new business because, again, what matters is net new business. There are actually 2 reasons why we are growing way faster than competition when you look at the number and when you roughly look at the 5%. First, we are winning more, and we are expecting new business, again, in the second part of the year and overall to contribute a bit over 200 basis points through 2025. This comes from basically 12 months of unprecedented wins. But what you need to understand is that so far what is paying off is not what we have won in H1, is what we won in H2 2024 that is ramping up. But the thing that we don't discuss enough, and by the way, we don't celebrate this kind of win enough is that we are losing less than competition. Not only we are winning more, but we are losing less. And again, I think this is what is the most remarkable about our performance because so far, and I'm touching wood, of course, we haven't lost one big client in the last years. Actually, in 2025, despite the macro, we are growing revenue with our existing clients by close to 300 basis points. And this is by bringing them new innovation products and service that not only grow their business, but allow us to keep them. So to come back to your question, Laura, the way you need to see our 5% is roughly 200-plus basis points due to new business, but also 300 basis points of growth on our clients that we are not losing and that we are growing. Finally, on H2, I mean, we are not expecting any new wins, by the way, nor any loss to have a material impact on 2025. To be honest, 2025 for us is almost behind us. We are thinking about 2026. I will just make one last comment because we have heard a lot of things since a week now is that to be totally transparent, the Q2 biggest win that we had will actually have no contribution for us in 2025. Well, I hope this isn't starting this point. Maybe you want to say something before I make a strategic comment on...
Loris Nold: Yes, just on the point of scale, Laura, I mean, as you know, we have, in terms of scale leadership position across multiple geographies. I mean, roughly, globally, it's about EUR 50 billion in billings. But what's really important to us is when you start looking at Connected Media that represents 60% of our business, that continues to be highly accretive to our business. And at the end of the day, it's less about scale than it's about the differentiating capabilities that we bring to the table.
Arthur Sadoun: I mean, I would like to come back on this question. Jean said something that I thought was very right. He said, scale give you access to the stadium. And it's true that the 3 main players, I mean, the fourth so far and soon the 3 main players will all have access to the stadium. I think it has been demonstrated in the past and in the recent past, that being the biggest doesn't mean that you're going to grow market share. And so I think it will still be the case in the future. After a certain scale, which gives you the necessary leverage with the media to get the best prices, it's all about innovation because what client wants is, of course, to have the best prices, and for this, you need the scale, and after a certain amount of scale, you're in any way. And then the question is, how do you accelerate their growth and transform their model, thanks to your tech, data and media capabilities. And the reason why we are winning today is not because we are the second biggest in terms of scale on media, it is because we are the first in terms of innovation, in terms of model, in our ability to again make sure that our clients can have stronger data and don't depend on any walled garden, make sure that we can connect our clients to every kind of media. And when you see the success of our influencer platform, you understand that it's not only the scale you can have in print media, make sure that we can measure transparency. This is what is really making the difference. So the 4 of us so far and the 3 of us are already in the stadium. Again, we are not the biggest today already, but we are making the difference, thanks to our model, and we are very confident to be able to sustain this momentum.
Operator: The next question is from Lisa Yang, Goldman Sachs.
Lisa Yang: The first one, could you maybe comment on the level of pitch activity you're seeing or you're expecting for the second half? And maybe how do you size the risk and opportunity? And how much of what you won so far this year will be contributing to 2026? So what's the new business contribution you have already secured for '26? That's the first question. The second one, I was curious, I think you touched about it in your earlier presentation. But how do you think about the impact of Meta's new AI offering, which they're going to be rolling out later this year because clearly, they are now basically tapping into creative and media and definitely want to direct into brand marketing budgets directly. So wondering like how you think this could impact the agencies? And the third question is, obviously, you've been winning a lot of new business, and it sounds like it might continue. So how do you ensure that you have the right and maybe sufficient resources and staff to support future new business? At what point could staffing become potentially a constraint to future new business wins?
Arthur Sadoun: Three great questions. I'll start, I guess, with the pitch activity. Loris, you stop me whenever you want, if you want to add something. It was particularly intense H1 for the industry. I guess, honestly, I think I spend 80% of my time pitching in H1. And it seems that H2 will be a bit less busy in terms of big pitches, and from what we are seeing so far, there is not that much. Honestly, for us, it's almost a good thing because our primary focus is really to integrate what we have won. I mean, you have seen the track record for the last 12 months. In our case, it's really about integrating. And by the way, one of the reasons why we are winning today is because now we have a track record of 5 years being #1 in new business, and every of the client we win today can call the client we have won in the past and realize not only that the transition has been smooth, but that the upgrade in terms of capabilities and performance is significant. So again, it's really about integrating. Now we're going to continue to be involved in some pitches. But as I said, and this is very important, as long as the pitch process and even more importantly the remuneration actually truly regularize the value of our work. On Meta, I can go on and on, but I'm going to make it short because I know there is a lot of questions. I guess there is a lot question, and I don't want to take too much of your time. But it's -- I think it's 8 years to date that I'm presenting results. And I have been hearing that platform will hit us for breakfast basically since I started. And since then, we have actually, as you know, doubled our revenue and more than doubled our market cap. So this, as we say in French, [Foreign Language]. We feel very confident in where we are and the uniqueness of our model. And I think -- and again, sorry for my French that we need to stop a bit about the BS and fear that platform will actually make us disappear. And at this time, it would just not happen. I think that it's interesting to see the reaction of the client to what has been said by Meta. Thinking that a single tech platform, however, good is the platform, by the way, could deliver an end-to-end solution for a big client is actually misunderstanding the intelligence of our clients, as simple as that. Our client knows very well, and I said it in my conclusion because it was an important conclusion for me. I want you guys to understand the value of our sector and the value that we can unlock is that our clients more than ever need innovative partners. I mean, again, if there is one thing that I'm doing, maybe I'm not spending enough time with you guys, but I'm spending all of my time with clients, and I can tell you that in this world, they perfectly understand that they need to leverage AI, that they need the best platform, but they need a partner that can connect the entire ecosystem and help them to grow in this very, very complex AI-driven world. And this is about making sure that they own their data and don't give it to the walled garden. It's about connecting the entire media ecosystem. We talked about that. It's about making sure that we, as a partner, preserve their brand value. AI is great, but AI has no taste. AI is incapable to know what we bring value to consumers. It doesn't mean that AI won't help our creative forces tomorrow or today, just look at our results. I mean high single-digit growth and accretive, thanks to our AI platform. But still, no one else than a partner like us or any of the oldco, by the way, can do it. Again, some do it better than other. And last but not least, and I will leave you like this, measurement. In the platform world, you measure within the platform. With partner like us or other industry, you measure transparency through the lines. And if you think that our clients are ready to give up, and basically, as Meta say, give the credit card to one platform, you're wrong. So as it happened in the last 9 years, we will continue to strive as long as we make the right investments. And that's come to your second question, which is resources. And it's true for new business, but I think it's true for everything. You're raising the right question. We are winning a lot. Can we sustain the momentum by having the right people? That's basically your question. It's true for everything. I mean, if you ask me the reason why I am so confident in our future is that client needs partners, if I may, with 2 legs. One leg is the talent, and that's the question you're raising. They need to be able to work with people them on a day-to-day basis that understand their business problem, understand the complexity of the marketing world we live in, take the best advantage of every of the third-party partner they use and connect everything because never forget that AI is just about connecting data, capabilities and people. That's it. That's what AI is, okay? And so the chance we have at the moment is that we are very, very attractive for good and bad reason. The good is, we are winning, we are innovating, we are daring, we are making things that if you are between 30 and 50, you want to be part of Publicis. And that's a great thing. The default reason is that, as I said in my presentation, when you look at the marketing landscape and our competitive landscape, it's true that we are a great home for talent. We are home today that is growing, a home that is innovating, a home that is growing enough not to fire people, but to make them progress and grow. And so we are doubling down on that because honestly, I don't think the takeover from Omnicom or even the change that will happen at WPP will mean the client will run out the door tomorrow, but talent might. And this is where we have a big opportunity, and this is what we are playing at the moment. And this is why we are absolutely not worried about staffing our new business and staffing our new clients. We just need to make sure, by the way, that we pick the right people versus having the choice in the people. Loris, you want to add something?
Loris Nold: Just a couple of points, Lisa. First, on talent staffing, as you know, we've had a fairly stabilized attrition around 18%. And since the beginning of the year, we've added slightly over 3,000 net recruits. So we're fully adding to the staffing requirements. We have on ramping up the new business wins we've had, obviously, in Q1 and at the end of last year. And the second question you asked on the 2026 contribution. I mean, it's too early to give you some guidance. The only thing that I would say is we are clearly heading into '26 with some tailwind as the vast majority of the wins we've had in Q2 will start counting in 2026.
Operator: The next question is from Adam Berlin, UBS.
Adam Ian Berlin: A couple of questions left, please. The first thing is, I noticed that in the first half, the pass-through costs were up nearly 40% year- on-year. Can you just explain why that is? Is it just principal media? Why are you doing more? Can you just explain a little bit what's going on there? And my second question is about the restructuring costs, which were EUR 60-odd million in H1. Can you just say a little bit more about what these restructuring costs are? Is it just severance costs for changing personnel? Or what exactly are they? And does that come out in 2026? And should that be helpful to the 2026 margins when -- if these restructuring costs come out of the business?
Arthur Sadoun: Thank you, Adam. The good news is 2 questions are for Loris. So that's for you.
Loris Nold: So I'll start with the restructuring cost. I mean, as we've said before, I mean, this is really about talent upgrades. And yes, in H1 2025, we invested roughly EUR 22 billion more than we did in H1 2024. But when looking at the whole year, our guidance remains pretty much the same, which is restructuring cost in line with 2024, call it, as a percentage of revenue at roughly 1%. So again, this is about investing in talent upgrades. On the pass-through cost, I mean, it varies quarter-on-quarter in terms of growth, but I will make 3 comments. First is, don't forget that we look at our business performance on a net revenue basis. Second, when you break down pass-through cost, you have more or less 4 components. You have media, which is roughly depending on the quarter, 30% to 40% of those pass-through costs. You have production, which is roughly 35%, at least this quarter. And then you have the experiential events business, you have out-of-pocket type of expenses. And so it is not only media. Media is a portion of it. We haven't seen any significant differences in Q2 versus Q1 versus Q4 last year. So it's been pretty stable. And also, there's a difference between pass-through cost increase and the organic impact as there's also the impact of the acquisitions that are included in there.
Arthur Sadoun: Maybe, Adam, I will rebound on the point about the principal media because I know there have been also a lot of questions on that. First of all, unlike some of our peers that are saying that very publicly, principal media is not a priority for us. Loris said it, when you look at the U.S., which is, as you know, our largest market, it only represents circa 1% of our group net revenue. So to be clear, we are not the largest player here. We are not planning to double down on it. We don't have any barter agency like some. And as you know, we report in organic net revenue and not in growth, which means that at the end, whatever we do, it has a very, very limited impact on our numbers. And coming back to the question I had before about the scale of media, what is important for us, and hopefully, you get that through our acquisition strategy, is that we want to focus definitely not on principal, but on how do we connect the entire media ecosystem and how do we build industry-leading capabilities in new media segments, like advanced TV, which is booming, like commerce that has been at the origin of some of our biggest wins and like creators and some of you were in Cannes and show what we demonstrated, which is thanks to our Influential influencer, thanks to our platform that we bought with Captivate. Thanks to our data with Epsilon, we are able today to deliver the reach of the Super Bowl for a fraction of the price. This is what our client wants. They are happy to have a good rate for the Super Bowl, but everyone will give them a good rate for the Super Bowl as long as you have the scale, which will be [indiscernible] in the future. The difference is how do you find innovative ways, innovative media, new model based on data to massively reduce the cost of those things and make it, by the way, complementary to the Super Bowl. And that's where we have a big card to play. And if you ask me, this explains a big part of the 800 basis point gap between us and competition. And by the way, it definitely explains the JPMorgan chart that you have seen about the net new business. Client wants to stay, client wants to join. And what you have seen again in the JPMorgan will have an impact in 2026.
Operator: The next question is from Julien Roch, Barclays.
Julien Roch: The first one is on production. So Loris just told us that about 35% of pass-through was production. My understanding is when you move from traditional production to digital AI production, your net sales goes up dramatically because you don't outsource the production anymore and you do that internally, thanks to your production company and that the uplift, I was told by several people that can, is almost 3x. So do you agree with that on the fact that the move from outsourcing production to in-sourcing, thanks to AI digital is that big of an uplift? That's my first question. The second one is coming back on one of Nicolas's question is, what rough percentage of your net sales have an element of performance based in the contract? And then the last question is the press release mentioned a "particularly disruptive industry." So I think it's the first time you are so explicit about the industry changes, which are pretty evident with AI. But why are you mentioning that in the press release? What has changed this year versus previous years?
Arthur Sadoun: Thank you. Maybe I'll start with the last one, and then we go on to production. What we mean by disrupted is that, honestly, we have never seen so many changes everywhere. We have AI that is, by definition, disrupting our client model and our model. We have the world, I guess, you noticed that is having some uncertainties. And we have a competitive landscape that is in total restructuration. I mean it's -- I think we have never seen that. I'm not going to go one player after the other because, first of all, I don't like to comment too much about competition. But if you take one player after the other, you will see that we have never seen such a level of disruption and change, hopefully for good, by the way. Don't get me wrong. I think that these are good things that will help our industry, but it's very disrupted. And the point we want to raise here, which I think is critical for you guys because you have seen the difficulties we had when we had to restructure, when, by the way, we have to go through a succession process, and Maurice has been an outstanding partner, but the least we can say is that I made some mistake at the beginning, and it takes time to get into the job. The acquisition we have to make to be where we are, the Power of One that we have put in place that now will be the model for everyone. I think everyone agree that it's time to get rid of the silos. I mean just the Power of One cost us 3 years of very, very low organic growth, if it was not more than 3, by the way. So the only point we want to make here is that within this very disrupted world, hopefully, for the best, we are focused on execution. We don't spend 1 minute at Publicis thinking about what should be our new strategy, who should be our new leader, who are the client that doesn't understand that we are modern. We are focused on delivering the best product and services to our clients at the moment where they need us more than ever. We are focused on making sure that we make acquisitions that accelerate our differentiation and accelerate our gap when it comes to organic growth and margin. And we are focusing on attracting and keeping the best talent. And that's the point we want to make at this stage. Again, we know what it takes, and we know how hard it is to go through what some of our competitors are going through, and we know that it is for the best. This is why I wanted to be positive in my conclusion because I am actually very positive for the industry if we do the right thing. But at the moment, and I would say, at least for the next 2 or 3 years, we are in a position where we only focus on execution in a world that is very disrupted. And as you see, we are taking a huge advantage of that, 800 basis points on the growth. And by the way, 600 basis points on the margin. This is what we're talking about. Maybe on production, I'll let you start.
Loris Nold: Yes. So on production, Julien, I mean, for us, the vast majority of the top line we are generating on production comes from direct new business, i.e., new client, new wins, the scope expansion, a lot less from internalization opportunity. There's a bit of a glass ceiling there. So we're not expecting to see pass-through converting into incremental top line. We're expecting production to continue winning and to continue growing double digits again this year as it did last year. And that is primarily driven, as you rightly said, thanks to our products, our technology and the backbone that we are building, which is obviously leveraging AI. On the follow-up question on performance-based, I mean, it's still fairly limited in terms of contract that we would look at being part of a performance-based mechanism. It's mostly on the media side. Now it doesn't mean that we don't have KPIs that are performance related, but strictly performance-based contracts are still limited today.
Arthur Sadoun: And if I can add one point on production, which is the reason why we are growing and winning on production is, of course, because we have great production capabilities. But I would say, thanks to AI, this is going to be accessible even to smaller player in the future. So I don't think it's going to be that much of a competitive advantage. Everyone will equalize when it comes to how AI can enhance your production value chain. What makes the difference, and Julien, this is a very important point, is that this production backbone is anchored into our identity graph with Epsilon because delivering tons of personalized content, as most of you have seen in Cannes with great UX, and it looks good to see that we can adapt here and that is fantastic. But if you are not delivering the right content, suppressing the wrong content and make sure that you can measure it in terms of business outcome, it's going to become useless very fast, and we just look like a gimmick. And so our ability to connect this production platform to our identity graph to Epsilon is what is really making a difference.
Julien Roch: If I could follow up on Loris answer, I'm not sure I understand because if about EUR 700 million of your pass-through is production because you said 35% of the EUR 2 billion last year, and the world is going to move from outsourcing to analog production company to doing everything in-house, thanks to AI, I don't understand why it's not going to contribute to your top line.
Loris Nold: As I said, the focus years ago was mostly when decoupling, started happening on internalization of the type of production that we wanted to internalize. So there will always be, as far as we can see, a significant share of third-party cost or pass-through cost, i.e., some of the production work that we outsource essentially. And so our focus on production is very specific to certain parts of the business and not the entire ecosystem. So I don't see this moving.
Operator: The next question is from Conor O'Shea, Kepler Cheuvreux.
Conor O'Shea: A couple of questions from my side. Just the first question, maybe for Loris on the margins by region, some of the year-on-year movements in the first half. I think the margins in the U.S. were down. In Asia Pac, they were strongly up. So just wondering if anything behind that in terms of, I don't know, central cost allocation or phasing that you would like to call out? Second question is related to that in terms of, I think, Arthur, you said the EUR 55 million in investments in AI in the first half of the year. Can you just remind us what the full year envelope is? I think it's around EUR 100 million. And whether the cost of attracting AI personnel is being affected by what we're seeing in the wider sector with what Meta is offering for top AI scientists and so on. Is that trickling down in terms of cost inflation in terms of hiring and maybe weighing on the margins in the U.S. business in the first half? And then third question, just again for Loris, I think, if currency rates remain unchanged, can you give us an indication what the headwind could be in the second half of the year?
Arthur Sadoun: You've [indiscernible] So Loris, over to you. I'll say well on the cost of AI, but I will let you go through the 3 questions first.
Loris Nold: Sorry, I was on mute. I'll start with the FX question. So if we assume that today's FX rates are applied to the last 6 months of the year, currency movement will have a negative impact on revenues of EUR 500 million to EUR 550 million, i.e., roughly 400 basis points for the full year of 2025. On the margin by region, just to get into a bit of details. So North America was at 17.5% versus 18.7%, as you rightly said last year. And that is due to essentially the bulk of the AI assignment that you asked the question on that sits in the U.S. So we've seen an increase as 65% of the EUR 55 million are in personnel costs and all those are sitting in the U.S. And there is a significant portion of our new business ramp-up that are impacting the U.S. as quite a few of the central team sits there. And last, there is the integration and the cost of the recent acquisition that have been primarily U.S.-based. But that remains a very strong margin, obviously. Europe is slightly up, largely due to a strong cost discipline in the region and the strong performance in the higher-margin region, that is Central Eastern Europe. APAC, there is some positive phasing effect in H1 and the other regions are smaller. And so that remains very much in line with what we were expecting.
Arthur Sadoun: Maybe I know we're running late, but I want to add a point on your cost of AI because I think it's a very important question. We are not planning to become and we are definitely not an AI company. We are a service company that is, I guess, leveraging AI pretty well. And that's come back to what I was saying about it is that it's -- we have great talent, and we have the best platform of our industry, where we invested roughly EUR 12 billion in data, technology and AI that actually means that for us, AI is only an opportunity, only an opportunity because, again, we have the data and without the data, AI is nothing. An opportunity because we have 25,000 engineers that can build the tech infrastructure that you need to make sure that you can switch your agent and your data. And we have a single structure that means that AI can flow through our organization. So for us, coming back to your question about the talent, we are looking for people that can help us make AI an immediate positive impact on our client business. We are looking to make sure that we can improve the efficiency of our organization through AI, and we are doubling down in acquisition. And all of this is bringing the right talent that we need to do that at a cost for the moment that is totally acceptable.
Operator: Next question is from Adrien de Saint Hilaire, Bank of America.
Adrien de Saint Hilaire: I've got a few questions, if you don't mind. First of all, Arthur, you touched on the fact that clients may cut marketing spending. Maybe a bit of a so provocative question, but is that necessarily bad news for you? Because I remember in 2022, we saw some marketing and advertising budget cuts and yet you overdelivered on your guidance. Secondly, I know it's a difficult one, but if we put macro aside, is there any reason why '26 would be different than 2024 for you? And then the last one is there seems to be quite a disconnect between your own operating and financial performance and how the markets value Publicis and the whole sector. Is there a point where you could consider more radical actions perhaps to help investors better understand what's happening with your business?
Arthur Sadoun: I mean I don't know what kind of radical action we could take. I think we took a couple of very radical actions at the beginning of our plan. Now we are building on it. We are executing. We are making sure that we stay very ambitious in our acquisition strategy, very aggressive in our ability to win market share, very ambitious in the talent we bring on. And so then when it comes to our market price, I'm definitely not the one who should tell you what should happen. It's more up to you than us. I love your question, Adrien, about is cut spending a good news for us? I mean, I don't want to say it's good news because on the short term, it's definitely having an impact, and this is why we might anticipate for H2. Again, we didn't see anything from Q1, from Q2, but our job is to make sure that after so many quarters of uncertainty, we could expect that it materialized in a way or another with our clients, particularly in Q4 and particularly in the U.S. As you know, it is an adjustment quarter that was very favorable. But where you have a great point, which is everything that makes the marketing model different is good for us because -- and that was definitely the vision of Maurice, I mean, maybe 12 or 13 years ago when he bought Sapient is we want to make sure that we are the best partner of our client in their transformation. And the reason why we are winning so much today apart from the dedication of our talent and the quality of our assets and our model is because clients sees us have the best opportunity to be successful in their marketing transformation. And Sapient again, has a big role to play here. So are they going to cut more cost? For sure. Does AI going to have an impact on how we get remunerated? For sure. But we have 25,000 engineers, the best data stack in the market, the most advanced Connected Media platform. Same thing for production, and that makes us confident if we stay very close from our clients and if we don't do anything else than taking care of them to grow whatever the consequence, whatever the environment, which is again what we demonstrated this year, we are growing, again, far away from our competition. But more importantly, we are growing close to 5% in a market that is negative for the rest. So yes, it could be a good news. I don't think on the short term, but definitely, everything that will disrupt the market for us is a good news today. The question you're asking about what is coming is a point about the sustainability. And maybe I'll spend a minute on that also because I know it's a big thing on your mind is, is our performance sustainable? I'm not going to give you at this stage guidance for next year, although I will say 2 things. First, it's starting to be funny. Every year since 2021, I'm hearing, is this sustainable? It will be this year, the sixth year that we outperformed and we increased the performance year after year for the last 6 years. And I will look at the JPMorgan chart with a lot of attention. because what you will see in JPMorgan's chart in H1 is not what is going to happen this year. I mean, as I said, definitely, the latest win we had will have 0 impact for this year. But even the one that we won at the beginning of the year, we have little impact, hopefully and surely actually enough to compensate any hits that we could see by the second quarter. But it will help us to definitely outperform again in 2026, which will be the seventh year. So is that sustainability? I don't know. I will let you judge about that. I'm not going to come back on the reason, but I wanted to make this point because I think it's important to understand that we are able to win and to outperform and to sustain this outperformance basically for the 3 reasons we mentioned is that we are winning and retaining clients more than other, particularly in this environment. Something that we did not insist maybe enough today is we have an incredibly well-balanced revenue mix. And that's a big strength for us. We have 60% of our revenue in Connected Media. We don't say it enough is that we have already totally transformed what is our biggest part of the business and what is definitely what the client needs the most today, which is our Connected Media, and we see long-term opportunity to outpace the industry on this one. We are making great progress on creativity. I mean, I come from a creative background and see that we can deliver high single digit on the creative, thanks to production, thanks to the work and thanks to the win is something that makes me very happy. Honestly, not that much for the performance because anyway, the performance would have been good. But because we have thousands of people that think that at Publicis, there is a future for this part of the industry. And again, just a slight improvement in Sapient, just a slight improvement in Sapient, and you see that we can go beyond your expectation in terms of growth. So imagine where it could be when things get better. So to cut a long story short, no guidance at this stage, but very confident for the future. There is the last question.
Operator: The last question is from Christophe Cherblanc, Bernstein.
Christophe Cherblanc: Yes. So one last question on the contribution of acquisition to organic growth. So you underline the 15% to 20% boost coming from those contribution. How long do you expect that kind of above trend growth to be sustained for that kind of profile? Is it -- should we expect 2, 3, 4 years span? And more specifically, you highlight inflation growing, I think, double digit. And I had in mind that inflation was about 1% of total revenue. So I would have expected an impact above the 20 basis points, I think you were mentioning in the call.
Arthur Sadoun: Loris?
Loris Nold: So a few points, Christophe, on that. First, start with the contribution from acquisition. From our acquisitions in '24 and '25 year- to-date will be close to EUR 300 million or 200 basis points when you look at our net reported revenue in 2025. On the organic growth contribution, we expect those acquisitions to contribute close to 20 basis points to our full year organic growth guidance. Yes, Influential has been performing very, very strongly. But do not forget that when it comes to organic growth, we are only counting a fraction of the year given the timing of the acquisition. And so it has a greater impact on the reported growth. And the last point is on the horizon for tracking acquisition performance. It is not an easy one, even though we build acquisition plan, integration plan and we track performance, but a number of them become very integrated into our operation. And so the stand-alone performance sometimes is a bit harder to measure. But the main point is we are expecting this to deliver more than 20% in '25. So a very strong accretion to our top line.
Arthur Sadoun: But again, if I can jump on this one, we are not making this acquisition to leave them in silo and hope that they're going to grow fast. They are integrated from day 1. When you look at our M&A process, when we identify this kind of targets, we look at 3 things in this order. Do they bring the right IP or talent, i.e., people we want to bring on board? Does it complement what we have already built and can accelerate the growth of our clients? And then does it fit with prices? And as you know, we have been passing when the price were too high, and we came back now pretty strongly. And if you look at our latest big wins, the biggest wins, I can tell you something without revealing anything about our secret sauce is that without Lotame, without Influential, without Mars United, we would have not been able to gain so much new business in H1. And again, it comes back to the point I was making reference to John that said giving you access to stadium. When you are in the stadium, you need to be the best player because you are there, but the difference will be on innovation and how you can grow our client business, and this is where we win. I think there is no more questions. So I'm going to thank you for that. It was a very dense call. Hopefully, what you will take out of this call is, of course, we are very satisfied with the performance because in a world that is pretty challenging, we are actually delivering beyond expectation this quarter. We are very confident in the upgrade of our guidance, particularly due to our new business and the fact that it's baked in any kind of problem that we can see. But I would say more importantly and I hope you felt that in the tone, we are incredibly focused on the execution of our strategy because at the moment, we have huge opportunity, thanks to our model, thanks to our people. And also, I have to say, thanks to the environment, not only to continue to outperform for 6 years in a row and I guess, for 7 years in a row, but to increasingly show the gap between us and our competitors and even more importantly, show to our clients that our industry on the whole and Publicis, in particular, has a lot of value to bring them and a unique role to make them grow profitably. We, thank you very much. I guess we will talk to some of you today and then back to clients. So have a great day. Thank you very much.
Operator: Ladies and gentlemen, thank you for joining. The conference is now over, and you may disconnect your telephones.